Operator: Welcome to the Encore Capital Group Fourth quarter and Full-Year 2015 Earnings Conference Call. [Operator Instructions]. I would like to introduce your host for today's conference, Mr. Bruce Thomas, Vice President of Investor Relations. Sir, please go ahead.
Bruce Thomas: Thank you, Operator. Good afternoon and welcome to Encore Capital Group's fourth quarter 2015 earnings call. With me on the call today are Ken Vecchione, our President and Chief Executive Officer; Jonathan Clark, Executive Vice President and Chief Financial Officer; Ashish Masih, Executive Vice President, U.S. Debt, Purchasing and Operations; and Paul Grinberg, Group Executive, International and Corporate Development. Ken and Jon will make prepared remarks today and then we will be happy to take your questions. Before we begin, we've a few housekeeping items. Unless otherwise noted, all comparisons made on this conference call will be between the fourth quarter of 2015 and the fourth quarter of 2014. Today's discussion will include forward-looking statements subject to risks and uncertainties. Actual results could differ materially from these forward-looking statements. Please refer to our SEC filings for a detailed discussion of potential risks and uncertainties. During this call, we will use rounding and abbreviations for the sake of brevity. We will also be discussing non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are included in our earnings release which was filed on Form 10-K earlier today. As a reminder, this conference call will also be made available for replay on the Investors section of our website where we will also post our prepared remarks following the conclusion of this call. With that, let me turn the call over to Ken Vecchione, our President and Chief Executive Officer.
Ken Vecchione: Thank you, Bruce and good afternoon, everyone. Encore has dramatically changed over the past three years. Since 2012, revenues and profits have grown substantially and we've increased annual capital deployment from roughly $600 million domestically to over $1.2 billion globally in 2015. To counter higher prices in the U.S. market, we implemented innovative consumer-centric programs aimed at increasing liquidations. These programs were initiated in the beginning of 2014 and have become increasingly successful, offsetting the rising price trends of the past three years. From a strategic perspective, we took the leadership role in consolidating our marketplace and we've expanded our business globally to reduce the risk of being overly dependent on a single geography. We're now an international company able to capitalize on higher returns in Europe, Latin America and Australia. For those of you who compare our U.S. business now with how we performed in prior periods, we would be the first to admit that we're not currently generating returns in line with our peak years from 2010 to 2012. That world changed when a few large issuers left the U.S. market and removed a substantial portion of supply, that period also represented a different stage of the macroeconomic cycle. In response to these events, we ought expanded internationally and we're now well positioned to take advantage of other deployment opportunities around the globe. Although this was the appropriate strategic response, the combination of our platform investments, the issuers leaving the U.S. market and historically low charge-offs caused our return on invested capital to compress over the last three years. Viewing the company over the last 12 months, we're better positioned in the international marketplace. We've done well to grow our U.S. market share. We've settled our differences with the CFPB, removing a multiyear overhang on our operation. Comparing Encore's position today with where we stood a year ago, I prefer the current state of our business. As mentioned, revenues, deployments, net income and EPS of our company have improved, yet our stock price performance has disappointed investors, management and our Board of Directors. As our share price became dislocated from its relationship to earnings during the fourth quarter of 2015, it became clear that we needed to reemphasize the one thing that forms the foundation of our financial results, our investment returns. It is our opinion that the market does not believe we're generating appropriate returns on our invested capital and furthermore, there is concern that our capital deployment will stagnate. We believe that the best path to restore shareholder value and our stock price is to manage all of our businesses on a return on invested capital basis. Importantly, Encore has delivered strong earnings growth over the past several years, but it was not accompanied by steady growth in invested capital returns. There are two reasons for this. One, we invested in international platforms whose value takes time to develop and two, the cumulative benefits of our consumer-centric programs took time to materially impact collections and to overcome price increases. I'm pleased to report that we're now seeing evidence of an inflection point in our invested capital returns. As we enter 2016, we expect higher returns on newly committed forward flows in the U.S. Today, we've commitments for over $270 million of capital deployment at returns that are 15% higher than our returns in 2015. Despite continuous but modestly rising prices, our IRRs on deployed capital are rising as our consumer programs work to improve collections. Within our international platform, Cabot experienced steady to slightly higher returns in 2015 versus 2014 as off-market purchases and improved liquidation programs similar to those we deployed in the U.S. were implemented. We also see the prospect for higher returns in Latin America, Spain and Ireland. Going forward, we will focus less on acquiring new large platforms and we will place more emphasis on growing our business organically. Our returns today, while not equal to the peak returns of 2010 through 2012, are still very good after-tax returns and are well in excess of our weighted average cost of capital. Today we announced the divestiture of Propel, our tax lien business. This business was an appropriate acquisition for Encore back in 2012. In fact, Propel's annual EPS contribution grew approximately 13% on a compounded basis over the past four years. But as a result of the current market dynamics and the outsized need for Propel to leverage capital, Propel was no longer generating attractive returns when compared to the improving returns of our other investment opportunities. Propel generates exceptionally high quality assets with relatively low returns which is fine when gauging them through a risk-adjusted lens. Because Encore has opportunity to deploy capital at significantly higher returns, Propel was no longer a good fit. Today we announced a definitive agreement to sell the business to Prophet Capital, a Texas-based investment advisor. Upon its closing in March, the Propel sale is expected to provide us with a number of key benefits, one, provide the liquidity to deleverage our company and pay down our debt; two, to improve our overall corporate return on invested capital; and three, to provide us additional liquidity for maximum investment capital flexibility. We've always and will always continue to use IRRs to drive our deployment decisions, but we will manage our businesses with more emphasis on return on invested capital. When we've an opportunity to deploy capital at higher returns, we will do so and when returns are less attractive, our deployment levels may shrink. Our intention is to deliver attractive earnings-per-share growth alongside appropriate invested capital returns. We believe it is this combination that will deliver improved total shareholder return. To ensure management and investors are aligned, we're working with the board to have more of our long term compensation focused on total shareholder return and have short term bonuses overweighed with the Board's judgment regarding our improvement in return on invested capital. Now let me move to the results and then we will get to your questions. In the fourth quarter, Encore recorded some sizable tax benefits and we decided to opportunistically invest the resulting savings in Cabot's legal collections business in order to drive higher than planned returns in that channel. As a result, Encore's fourth quarter financials reflect higher than normal expenses and a much lower than normal tax rate. In addition, the divestiture of Propel triggered a non-cash goodwill impairment charge that reduced our GAAP EPS from $1.16 per share to a net loss of $0.04 for the quarter. In more specific terms, in the fourth quarter, Encore generated a GAAP loss of $1 million or $0.04 per share as a result of the non-cash goodwill impairment associated with Propel. Economic EPS reached $1.31 per share compared to $1.17 per share, an increase of 12% from the fourth quarter of 2014. Without the foreign exchange headwinds in the quarter, our economic EPS would have been $0.05 higher, increasing our growth rate from 12% to 16%. Adjusted income grew 10% over the last year to $34 million. Cash collections increased 6% to $417 million. Adjusted EBITDA, one of our most important measures of underlying performance, grew to $248 million, an increase of 3%. On a trailing 12-month basis, adjusted EBITDA grew 6% to $1.060 billion compared to $1 billion year ago. Our overall cost to collect this quarter was 41.5%, up 170 basis points from the 39.8% last year, reflecting the higher concentration of legal collections at Cabot compared to a year ago. Our estimated remaining collections or ERC at December 31 was approximately $5.7 billion, an increase of 10% or $508 million compared to the end of 2014. In constant currency terms, ERC grew 14% on a year-over-year basis. For the year, Encore generated net income of $45 million which includes the non-cash Propel goodwill impairment and the $43 million one-time charge related to our settlement with the CFPB during the third quarter. This drove GAAP EPS to $1.69 per share. Adjusted income grew to $134 million compared to $119 million in 2014 and our economic earnings-per-share was $5.15 compared to the $4.52 per share in 2014, an increase of 14% on a year-over-year basis. We collected over $1.7 billion in 2015, up 6% for the calendar year. Deployments totaled $345 million in the fourth quarter. In the U.S., the majority of our $200 million of deployments represented charged-off credit card paper, mostly comprised of fresh accounts. This purchasing level reflects our substantial domestic market share and reinforces the fact that the U.S. core market still provides us with solid opportunities to deploy capital. As I mentioned earlier, I am pleased to say that in 2016, based upon approximately $270 million in forward flow commitments in the U.S., we're seeing expected investment IRRs improving and they are now 15% higher than a year ago. Our operations in Cabot and growth deployed $69 million in Europe during the fourth quarter. We deployed $76 million in other geographies in the fourth quarter, including the portfolio we acquired as part of the Baycorp acquisition in Australia. We're seeing very strong after-tax IRRs in Latin America. These are the facts that give us confidence that our return on invested capital going forward will be higher than it had been in previous two years. And this is why attractive returns in our business are less reliant on a better pricing environment. Prices will go up and down over time; however, we will be emphasizing our overall returns which are now rising despite the pricing environment. In simple terms, the dollar we're investing today will have a higher return than the dollars that have been invested in the recent past. Cabot continues to improve its position in the growing UK debt market and delivered solid performance in the fourth quarter and overall in 2015. Cabot's revenues grew 23% in the fourth quarter compared to the same quarter a year ago and grew 22% in 2015 compared to 2014. Cabot's collections grew 14% in the fourth quarter compared to the same quarter a year ago. Cabot's collections grew to $454 million in 2015 which was up 18% compared to the $384 million collected in 2014. For the year, Cabot deployed $400 million, including the portfolio purchased as part of the DLC acquisition. Cabot's estimated remaining collections at the end of 2015 was $2.7 billion, up from the $2.3 billion at the end of 2014, including the impact of foreign currency exchange rates. Cabot contributed $0.35 of economic EPS to Encore's results in the fourth quarter of 2015, up 35% from the same quarter a year ago. For the year, Cabot generated $1.20 in economic earnings-per-share for Encore compared to $0.87 in 2014. That's an increase of 38%, helped along by the purchase of DLC. Over the past few years, we've diversified Encore's business by expanding into new global markets and asset classes. As a result, we now have access to attractive opportunities to deploy capital more efficiently at higher unlevered returns. In order to achieve similar returns to other businesses, Propel's tax lien investments require higher levels of leverage. This is inconsistent with our longer term goal of delevering our balance sheet. The divestiture of Propel provides significant benefits for Encore. This transaction improves our overall corporate invested returns, reduces our debt, provides liquidity and allows us to take advantage of new opportunities for higher returns we're seeing in the U.S. and around the world. We expect the sale transaction to close before the end of Q1. As a byproduct of selling Propel, we booked a non-cash goodwill impairment charge of $49 million in the fourth quarter. On a cash-on-cash IRR basis, Encore's ownership of Propel will end up nearly breakeven. The pending sale of Propel provides us with an opportunity to remind investors how to view our leverage. In the current slide, we provided pro forma views of our debt leverage statistics with and without Propel, as well as with and without Cabot. Without Propel, our debt to equity ratio moves from 5.02 times to 4.38 times. If you then exclude Cabot, our debt to equity ratio moves from 4.38 times to 1.92 times. It is important to remember that we fully consolidate Cabot's debt on our balance sheet because we've a 43% economic interest in Cabot and we control their Board. Nonetheless, Cabot's debt has no recourse to Encore. Consequently, not only is Encore far less levered than a casual glance at our financials would indicate, but the Propel sale provides an opportunity to even further reduce our debt leverage. At this time, I will turn the rest of the presentation over to Jon to go through the financial results.
Jonathan Clark: Thank you, Ken. Before I go into the financial results in detail, I would like to remind you that as required by U.S. GAAP we're showing 100% of the results for Cabot, Grove, Refinancia and Baycorp in our financial statements where indicated, we will adjust the numbers to account for noncontrolling interests. Worldwide collections grew 6% to $417 million in the fourth quarter of 2015 compared to $394 million in the fourth quarter a year ago, driven primarily by the continued growth of our international business. In constant currency terms, collections grew 8% in the quarter. In the fourth quarter, collections from our international business grew 27% compared to last year and comprised 34% of our total collections, reflecting our continued growth outside of the United States. For the quarter, our call centers contributed 43% of total collections or approximately $181 million compared to 47% of total collections or $185 million in the same quarter a year ago. Legal channel collections accounted for 43% of total collections and grew to $181 million in the fourth quarter compared to $160 million and 41% of collections a year ago. Agency collections in the third quarter were 13% of total collections compared to 12% of collections a year ago. Globally, collections grew 6% to $1.7 billion in 2015 compared to $1.61 billion in 2014 for the majority of our collections growth coming from Cabot. In constant currency terms, collections grew 9% on a year-over-year basis. In 2015, collections from our international business grew 25% compared to last year and comprised 31% of our total collections, reflecting our sustained progress in diversifying our business geographically. Adjusted EBITDA is an important measure of our operating performance and helps us determine how much capital we've available for future purchases, capital expenditures, debt service and taxes. It also serves as a clear indicator of the strong cash flow generated by our business. Our collections performance in the fourth quarter and for all of 2015 led to higher cash flows. In Q4 we generated $248 million of adjusted EBITDA, an increase of 3% over the fourth quarter of 2014. For the calendar year, we generated adjusted EBITDA of $1.060 billion which was up 6% compared to the prior year. Revenue in the quarter was $298 million, an increase of 8% over the $277 million of revenue we generated in the fourth quarter of 2014. In constant currency terms, revenue grew 11% in the quarter. International revenues grew 38% in Q4, driven primarily by the DLC acquisition. Once again, we had no portfolio allowances in the fourth quarter. Our overall revenue recognition rate, excluding the effects of allowances and allowance reversals, was 64.7% in the fourth quarter of 2015 compared to 63.5% in the fourth quarter of 2014. We recorded $3 million of net portfolio allowance reversals in Q4 compared to $5 million of allowance reversals in the same quarter a year ago. In the fourth quarter, we increased yields primarily in the 2010 through 2014 vintages as a result of sustained over performance by pools within these vintages. Revenue for the full year of 2015 was $1.16 billion, an increase of 8% over the $1.07 billion of revenue we generated in 2014. In constant currency terms, revenues grew 12% year over year. International revenues grew 31% in 2015, driven primarily by our acquisition of DLC. Our overall revenue recognition rate, excluding the effects of allowances and allowance reversals, was 62.7% in 2015 compared to 60.7% in 2014. Excluding the impact of the $8 million allowance associated with the CFPB settlement from the third quarter, we recorded $15 million of net portfolio allowance reversals in 2015 compared to $17 million of allowance reversals in 2014. Turning to cost to collect, excluding acquisition-related and other one-time costs, our overall cost to collect for the fourth quarter was 41.5% compared to 39.8% in the same quarter a year ago, reflecting a higher concentration of legal collections occurring within our UK operations. For the full year, our cost to collect was 39.2% in 2015, up 60 basis points from 38.6% in the prior year. Although cost to collect remains an important metric for our business, we concentrate on generating the greatest net return per dollar invested in order to maximize our return on invested capital. We encountered an opportunity in the fourth quarter to -- as we reinvested some of our general cost savings back into Cabot's legal collections practice to produce above standard net present values for these opportunities. As a reminder, our long-stated preference is to work with our consumers to negotiate a mutually acceptable payment plan tailored to their personal financial situation. In the past, these plans almost always involve substantial discounts from what the consumer owns. More recently, we've been successful in developing stronger relationships with our consumers which have resulted in scheduled payment plans with far less discounting rather than the highly discounted payment plans of the past. These payments over time are yielding a greater net return per invested dollar. Our estimated remaining collections or ERC at the end of 2015 was $5.7 billion, an increase of 10% compared to the end of 2014. In constant currency terms, our ERC grew 14% on a year-over-year basis. In the fourth quarter, we recorded a GAAP loss of $0.04 per share, largely driven by the non-cash goodwill impairment charge associated with Propel of $1.20 per share. Other one-time and non-cash items included $0.07 related to the non-cash interests and issuing costs associated with their convertible notes and an additional $0.07 related to one-time acquisition, integration and restructuring costs. After these adjustments, we end up with $1.30 per fully diluted share and our non-GAAP economic EPS was $1.31. Without the impact of foreign currency exchange rates, we would've earned an additional $0.05 of economic EPS in the quarter. In calculating our EPS on a non-GAAP economic basis, we exclude those shares associated with our convertible debt that are reflected in our EPS denominator from an accounting perspective, but which will not be issued as a result of the call spread transactions we entered into at the time we issued the convertible notes. For the fourth quarter, we excluded approximately 300,000 shares from the calculation as a result of the call spread. There were also certain one-time and non-cash items that affected our full-year 2015 results. Specifically, the $43 million one-time charge related to our settlement with the CFPB and other state regulatory matters equates to $1.60 per share. For the year, Propel goodwill impairment charge equates to $1.17, $0.26 were related to non-cash interests and issuance costs associated with our convertible notes and $0.30 were related to one-time acquisition, integration and restructuring costs. After these adjustments, we end up with adjusted income of $5.02 per fully diluted share and our non-GAAP economic EPS was $5.15. Without the impact of foreign currency exchange rates, we would've earned an additional $0.21 of economic EPS in 2015. For the year, we excluded approximately 700,000 shares from the calculation of economic EPS as a result of the call spread. With that, I would like to turn it back over to Ken.
Ken Vecchione: Thanks, Jon. As mentioned, we've already secured $270 million in forward flow commitments within our U.S. business. We expect these commitments to provide higher returns compared to last year. Presently we're seeing 15% higher returns from these portfolios based on the moderated pricing and continuing improvement in liquidations. We continue to grow and improve our businesses in expansion markets. In particular, we're seeing attractive after-tax IRRs in Latin America. And most importantly, we expect our overall return on invested capital to rise. We believe that the prior phase of large platform acquisitions has run its course for now. Currently, we see no large strategic acquisitions in the near term. Additionally, all future deployments and acquisitions must pass through our return on invested capital filter. And finally, the divestiture of Propel itself will raise our overall return on invested capital by allowing us to deploy more capital in opportunities with higher returns. At this point, operator, we would be happy to answer questions. Would you open up the line, please?
Operator: [Operator Instructions]. Our first question comes from the line of Hugh Miller with Macquarie. Your line is open. Please go ahead.
Hugh Miller: I guess I wanted to start off in Europe. Fourth quarter investment was just a touch below what we may have been looking for. Obviously 4Q tended to be the seasonally strong period in Europe. I know you guys are a little bit more focused more on the UK and Spain, but what were you guys seeing there in terms of supply and return on invested capital in the fourth quarter there?
Ken Vecchione: Well, I'll give you a couple answers to that. One, let me take you back to the middle of the year when we bought DLC. We said we probably have a slower purchase pattern or deployed capital for Q3 and Q4. So that is effectively what you are seeing in Q4 as we took time to integrate the DLC [ph] acquisition. I can tell you as we look currently in Q1 of 2016, we're seeing a very good quarter. So there may have been some volume naturally that slipped out of the Q4 into Q1, but we're pretty optimistic about what Q1 is going to be in terms of deployment.
Hugh Miller: And in terms of saying that, is that in terms of what you would normally see in Q1 or just -- it's obviously -- I think it's 2Q and 4Q that tend to have more supply that comes to market. Are you just basically seeing kind of quality supply relative to a normalized 1Q?
Ken Vecchione: It's always hard to gauge where supply falls between Q1 and Q2. We've a little bit more of an expanded footprint now. We're in Spain, the UK and Ireland. The returns are attractive in Spain, they are attractive in island, they are steady and holding in the UK and we look at the -- putting out the best pound or euro for the best return. And right now we see that a little bit more in Spain and Spain was a very -- it has been a very active Q1.
Hugh Miller: And then as we hear about potential for the UK to think about exiting the EU, how do you guys view that in terms of what impact that could potentially have on debt sale volumes in the Cabot operations? How do you guys view that scenario?
Ken Vecchione: I'm going to tell you honestly we're still working through that and we're going to spend some time when we're over at Cabot next week talking about the impact of just that. So I'm not ready really to comment. My general thought is that it's not going to impact us. That's my general going in thought.
Jonathan Clark: If I could just add, I think that won't impact us operationally, but obviously to the extent this is -- it throws some volatility potentially into the pound versus a dollar in from a currency perspective, we could be impacted.
Hugh Miller: And then as we think about -- you mentioned the incremental spend on regal account placements in Cabot, can you give us a sense of what that acceleration was? And I assume that that should probably moderate as we move on into future quarters. Some of it was just a catch up on acceleration. Is that the correct way to think about it?
Ken Vecchione: No, it wasn't necessarily a catch up on -- I mean we had some opportunities in Q4 to deliver more NPV through the legal channel and we spent the money to do just that. We took these tax savings that we had and reinvested it. And Cabot still has a very robust litigation channel/opportunity that they are going to be pursuing. And litigation expenses may stay a little higher in Q1 and Q2 of 2016.
Hugh Miller: And then just a question or two on the U.S., obviously you guys mentioned the 15% improvement returns this year relative to last. I think you guys mentioned liquidation rates as a positive factor there. Should we be thinking about that in terms of just the underlying accounts are stronger or improved analytics? How do we think about that and what's driving that improvement for you guys?
Ken Vecchione: Yes, you know what, Ashish is on the line with us. I'm going to let him talk about it because he's been really championing this and doing a great job. So, Ashish, I'm going to turn it over to you.
Ashish Masih: So it's a good question in terms of what's driving the liquidation improvement. There might be some improvement in the account quality. So that varies shorter, shorter and depending on the portfolio they sell. We're seeing and pursuing a lot of initiatives and we're seeing results of improving analytics, improving operations, both in call center and in legal channel. Across our footprint, that's driving this liquidation improvement. In the past, we've shown some numbers in our Investor Day as well as the earnings call and last year as the percentage improvements there. So it's all across those levers.
Hugh Miller: And should that be transferable to other geographies?
Ken Vecchione: Some of that is, right? We've transferred and we've had some success transfer between us and Cabot and we do a lot of that. And then we take whatever our knowledge base is and we bring it to all the new markets and then we try to discuss in Brazil, in Mexico what they are doing based upon what we see and try to shortcut their development and growth in improving their liquidations.
Hugh Miller: And last for me, in the U.S., you guys deploy just under $500 million in 2015 into receivables. Does your willingness to, let's say, lock in $270 million at sold flows, albeit at stronger returns, does that indicate that you guys would anticipate that the sideline issuers are less likely to reenter the market in the nearer term or how should we think about that?
Ken Vecchione: I'm going to give you the same answer I've been giving for three years which is we do not run our business on the basis of hoping that the sideline issuers will come back. When they do, they do. But we're running our business as if they never come back.
Operator: Our next question comes from the line of David Scharf with JMP. Your line is open. Please go ahead.
David Scharf: First off, more on the modeling front, can you give us a sense for what the earnings contribution from Propel was for the quarter and the year?
Ken Vecchione: Well, Propel probably for the full year contributed around $0.30 per share on the full year.
David Scharf: Taking a step back on the renewed focus on return on invested capital, Ken, you made the comment that there will be more emphasis on ROIC in conjunction with -- and I jotted down you said appropriate EPS growth. Can you expand on what you meant by appropriate? How we ought to interpret that and whether there is a change to what had been the longer term target of mid-teens EPS growth?
Ken Vecchione: So the stock has fallen since November 1. It fell right through the end of the year. Personally I thought it would be picking up the beginning of the year and I was wrong and it continued to drop again. We spent some time with our board looking at earnings growth, share price and absolute return on invested capital for the company. And what we found was that we continue to improve on EPS, but our return on invested capital was dropping year to year. We're still well over our weighted average cost of capital, but it was dropping and as I explained, there are some very good reasons for it. When you buy a large platform like Cabot, it takes a little while to earn through the goodwill and then we bought Marlin and DLC and those acquisitions are all doing great, but it takes some time. And then as our return on invested capital is dropping and we noticed it relative to our price that was dropping, we believe that connecting the two together more is the appropriate thing to do in order to raise our share price. So our EPS will grow and we want it to grow -- I used to mention mid-teens. Quite frankly, I would be happy if it grew mid-teens. I would be happy if it grew 20%, okay? But we're going to make sure our earnings growth is accompanied by growth and return on invested capital. And I'm going to try to avoid getting into the box of deployment and returns and EPS because it is going to be generated based upon where the returns are and if we've a lot of opportunity to put out returns, then we're going to have, I will say, more than normal or more than average EPS growth. If growth return is not there, we may have a little bit less than average EPS growth. But the returns have to rise in concert with our EPS rising.
David Scharf: And you've always pointed to adjusted EBITDA as a good economic metric for operating performance and growth. If we pull out Propel, it sounds like perhaps it was flat year over year. Directionally, given -- without boxing you into line item guidance, trying to get a sense for the combination of the expected bump in returns that you expect in the U.S., the level of charge-off activity by U.S. issuers, the opportunities overseas, is growth in adjusted EBITDA expected to accelerate from the flat to low single-digit levels we've seen in the last few quarters?
Ken Vecchione: So I will say that Propel was growing a little less than the rest of the company and, therefore, was putting a drag on the overall year-over-year growth. When we remove Propel, we would see a pickup in growth somewhat.
David Scharf: And then one last question, this is more mechanical and I will get back in line. Was the steep decline in the share price the reason why there was very little delta between the economic shares and the GAAP shares this quarter?
Ken Vecchione: Yes.
Jonathan Clark: Yes, on a net converted basis, yes.
Operator: [Operator Instructions]. Our next question comes from the line of Robert Dodd with Raymond James. Your line is open. Please go ahead.
Robert Dodd: Just looking at the U.S. in terms of your focus, obviously you are saying pricing is continuing to rise modestly. Your cost to collects do seem to be up, but at the same time, you're saying your IRRs are increasing. So can you give us a bit more color on them? And obviously on the liquidation side, you can get a better return through higher liquidation, but given the way you cap your returns in terms of how they flow through the P&L at a certain point, what's the -- are those higher liquidation numbers in the U.S. necessarily going to show up in earnings in the near term or is it more of an IRR cash benefit that you see?
Ken Vecchione: Okay. There are several questions there and let me tackle them. First, pricing for -- towards the end of the year was up modestly to flat. Our liquidation improvements are moving at a faster pace. Maybe the best way for me to say it -- think about liquidation moving on a geometric plane, while pricing was moving on an arithmetic plane. So liquidations are getting well in advance. We're getting more liquidations faster than we're getting -- seeing price increases. When those liquidations come in faster, A, it does improve our internal rate of returns, but the more cash we get in, it gives us more confidence in the IRRs we're using to book revenues.
Operator: Our next question comes from the line of Mark Hughes with SunTrust. Your line is open. Please go ahead.
Mark Hughes: I'm sorry if you touched on this earlier. In the spot market, domestically, do you expect returns to be up? It sounds like you're optimistic regarding your forward flows. Same for the spot market?
Ken Vecchione: I'm not certain what you mean by the spot market.
Mark Hughes: Just opportunities that come up periodically where you are bidding for deals against others rather than the forward flow.
Ken Vecchione: Yes, the bulk flows and the forward flows have been both up in terms of IRRs. So I would -- I just kind of made it simple and said most of that $270 million that we mentioned is all forward flows. But we've seen improvements in the -- in bulk as well on an IRR basis.
Mark Hughes: And that's a function of your higher liquidation rather than better pricing so far, right?
Ken Vecchione: Right. And I'll go back and just say for you and for everyone else, this liquidation story and the liquidation journey that we're talking about today, we started about two investor meetings ago trying to explain that. It was our goal to move our first year liquidations up about 50% from what they were from our base comparison and we're on track and moving forward along that curve to do that. And that is what is producing the better results or the higher IRRs.
Mark Hughes: Could you give a sense of, on an underlying basis, it seems like charge-off rates are probably moving up among the card issuers. Balances are up. Do you get a sense that there is increasing supply. Are you seeing that yet?
Ken Vecchione: We haven't seen it yet. I will tell you that we're modeling about the same amount of overall supply to the market as there was last year. But I will tell you from conversations with the issuers that we're getting a sense that the losses are rising in their shop and they may want to offset some of that loss by bringing more flow to market. But we're not modeling for that.
Mark Hughes: Right. Okay. And then the Citi news yesterday, they had some penalties they had to pay. Were you involved in that in any way? Do you think that means anything for your business? Are they more likely to sell because they just want to avoid this sort of thing?
Ken Vecchione: Well, first, I will say that overall I think that the Citi news is relatively good news for us and good news for consumers. For consumers, their payments are posted faster. I think that's good. For us, there really isn't any financial impact to us and Citi has been working with this problem way before the consent order came out here. So they've been fixing it well in advance of that. For us, there are some -- when you look through the consent order, there are some very positive things, especially around that when Citi now has to sell an account to us, they have to have 12 months of charge-off statements plus the original credit agreement. That's going to make our ability to go after or to try to increase liquidations much easier, whether it be through the legal channel or through our call center. So I think in the long run for us this is going to be a positive and will add to our improved liquidation story.
Mark Hughes: Are they more motivated to sell because of this or--?
Ken Vecchione: I don't think they changed their behavior. Because I think they saw this thing coming all along and they've been working through it, but I'm not going to speak for them.
Mark Hughes: Yes, the CFPB rulemaking process, where does that stand? When should we expect something out of them? Any implications? Any updated thoughts on what it could mean?
Ken Vecchione: Yes, listen, our guess is end of 2016/2017 they published some rules. Everyone gets a chance to comment on them and then depending on the rules, they may phase them in over a year period. So I think we're really far away from this and I think the CFPB did what they wanted to do in the rule making rather quickly through the consent orders in the industry.
Mark Hughes: And I'm sorry if I missed this, but did you size up the specific amount of the accelerated legal spending in the UK? Did you give out either number or EPS impact on that?
Jonathan Clark: No, we didn't.
Mark Hughes: Would you care to?
Jonathan Clark: It was more than half of what you will see in increase in legal spend on the balance sheet. So I think approximately $5 million.
Mark Hughes: And then what was your comment about the underlying collections, cost trends excluding those one-offs?
Ken Vecchione: Cost to collect is an output and if the NPV is positive and we can collect money, then we will do that. Now we do watch our costs, but I'm not overly concerned that the cost to collect went up. Some of it is because we've put more money towards the legal channel both in the U.S. and in Cabot.
Mark Hughes: And the rest, you would suggest you are getting a higher NPV or IRR for that?
Ken Vecchione: Yes.
Operator: Our next question comes from the line of Michael Kaye with Citigroup. Your line is open. Please go ahead.
Michael Kaye: Sorry if I missed this, but I wanted just to get -- can you comment or give any numbers around your expected 2016 total capital deployment? I thought you said in the U.S. the supply that you expect to come out should be about flat with this year, but anything from a total deployed -- capital deployment perspective for this year?
Ken Vecchione: No, we haven't given any guidance on that. I mean I wouldn't be surprised if it approximates what we did in 2015, but it's going to be return driven. So if we got the returns, we're going to go for -- we're going to push as much money out as possible. And if the returns are less than what we find attractive, then that number will be less than what we did in 2015.
Michael Kaye: And any update on the India debt borrowing initiative?
Ken Vecchione: Our application is still in with the Bank of India. As you can see, they are moving rather slow and we continue to answer any questions they have. Much more than that, there's not more of an update.
Michael Kaye: Do think it's going to be a 2016 event still or maybe not now?
Ken Vecchione: Right now I would center on the back half of 2016 to give myself some leeway here.
Michael Kaye: Okay. And then I thought you said -- in one of your comments, you see less of an opportunity to do these large acquisitions this year. Expect less than that. I'm just wondering getting close to that four-year anniversary of the original Cabot purchase, a stake in it and I believe you have an option to purchase the rest of it, I believe, next year. Any early thoughts on if that is something that can interest you at this point to potentially buy the rest in? Maybe simplify the structure a little bit?
Ken Vecchione: That trigger doesn't occur until July of 2017, so we still have a year and a half. And then after that, there's a process that unfolds after July of 2017. So we've got some time and what we do with Cabot is the same thing what we do with all our cash. We will look at what the total returns are and we will see where it's best to deploy money.
Michael Kaye: Is it possible to accelerate that July 2017 if it's something you would like or would it just have to wait to that point? It can't be before that?
Ken Vecchione: It doesn't have to wait, but we're going to need both buyer and seller to agree on price.
Michael Kaye: Yes, okay. And one last quick question. How are you feeling about your capacity -- your financing capacity this year?
Jonathan Clark: We feel great and quite frankly, as Ken outlined the sale of Propel, that makes us -- gives us even more flexibility. So no worries there.
Operator: Our next question comes from the line of Bob Napoli with William Blair. Your line is open. Please go ahead.
Bob Napoli: Just, Ken if you could, the moderation in pricing in the U.S., what do you think -- what drove that? Did you see a competitor get out of the market, just more rational competition overall or what is driving the moderated pricing given that supply probably hasn't picked up very much?
Ken Vecchione: I think it's more rational pricing. I think the issuers are beginning to put more of a premium on those buyers that have an outstanding compliance system. We got some paper that we lost, for example, to another buyer that didn't make the grade with a large issuer in terms of compliance and then that paper came back to us. So we're seeing some of those things. But the pricing has been up for the last several years and at a certain point, we want to make a certain return. If we can't make that return, then we're not going to spend the money and my guess is other people are trying to be as rational as we're.
Bob Napoli: Okay. And then did you see anything in the U.S. bankruptcy market? You guys have bought some bankruptcies last quarter. I didn't see if you did this quarter. Is there any change in some of the regulatory confusion around that market in the U.S.?
Ken Vecchione: The confusion still stays and I don't think we really bought anything this quarter -- a little bit, we bought a little bit.
Bob Napoli: And then I know you said you are running the business as if the sideline guys are not coming back, but are you seeing anything one way or another that leads you to feel that maybe they won't be? Have you seen any other firm, any other bank or any other issuer stop selling?
Ken Vecchione: No, the same sideline issuers are the same sideline issuers and frankly, Bob, I've been wrong in forecasting when they are going to come back. That's why we always run our business without planning for them to come back. But if I had to take a wild guess, I would say think towards the very end of 2016, but I'm not in the guessing game anymore.
Bob Napoli: What is your target leverage? I mean how do you specifically look at leverage and what would be a level that you would like to have your leverage at?
Jonathan Clark: Well, we look at it primarily as adjusted EBITDA and I will take you to the slide, Bob, on page 9. On the deck -- sorry, I hit a button by mistake. Bear with me here. As you can see, our -- now our -- with Cabot -- with Propel we were at 2.83 times and in terms of total debt to adjusted EBITDA, we still had flexibility in that in terms of at least the way I view the world. So we can certainly go up to 3 times on a secured basis and further unsecured. So a lot of latitude there. But, as you can see now with -- if you look at us without -- I'm sorry, when I look at it, I look at it without Cabot and without Propel now and we're at 1.57 times. So we could easily take that to 2 times and still plenty of room.
Bob Napoli: Just, in that calculation, if you are taking out the Cabot debt, are you also taking out the Cabot EBITDA?
Jonathan Clark: We're taking out the Cabot debt and Cabot EBITDA, correct.
Bob Napoli: And then the $273 million, I know it was mentioned earlier, but was that -- are you seeing some pickup in supply? Does that indicate -- would you expect that $273 million to come on in the first quarter or is that really a full-year number?
Ken Vecchione: That's a full-year number. It will come on maybe evenly -- maybe a little bit more skewed to the first couple of quarters.
Bob Napoli: And then would you expect U.S. purchases to be down this year or from last year given that you are targeting higher returns?
Ken Vecchione: I will say that we think the overall market will stay the same and if we can get the returns that we like, we may be close to what we've done in the previous year. So the returns will drive what we're going to deploy. There's a certain amount of volume that we do need to make sure our operating centers are functioning and always constant and current, so we've to hit a certain level. But right now what we're buying, we're buying at good returns and we're bidding to better returns and we will just wait to see how the rest of the year goes. And then also, just keep in mind, you just can't ask a U.S. question. Because once I cross over a threshold that I have to have for the factory, that money can go anywhere. So if I have a better return in euros on an after-tax basis in pounds or in the Colombian peso or the real, that's what we make our decisions on. So that money will go elsewhere.
Bob Napoli: Okay. And then Europe, I guess you talked about Spain and you made some small acquisitions there. Are you in strong competitive position with those acquisitions that you made?
Paul Grinberg: Yes, so we're making good progress on those transactions that we've done in Spain. We've got very good servicing capability for the purchases that we've made and both of the businesses we've required their service on behalf of others. Part of the strategy on driving ROIC also is to in certain markets outside of the U.S. to expand our servicing capabilities because those businesses generate very strong cash flows without the need to deploy capital. So you've seen us acquire a couple businesses in Spain. The business in Australia has a nice servicing capability. The businesses in Latin America that we've acquired and are exploring have good servicing capabilities. That's also part of the ROIC story that I think is important for everyone to understand and I will just add since I've got the phone now that we've -- there've been a lot of questions around deploying capital in the U.S. and as Ken just mentioned, we consider where we deploy our capital on a global basis today and there are significant opportunities outside of the U.S. These days I'm spending a lot of time on the road and a lot of time in Latin America and there are certain geographies in Latin America where the amount of capital that is -- could be deployed is of similar magnitude to the amount of capital that is deployed in the U.S. So I think we need to think about the business and capital deployment opportunities and return opportunities on a global basis and not just focus on the U.S. It is certainly important, but when we look at structures and we look at geographies and we look at supply/demand equations, there are very favorable after-tax returns in a lot of markets. And we're actively considering and deploying capital or we're actively looking at purchases week in and week out and deploying capital in those markets.
Jonathan Clark: And Bob, this is Jon. By the way, when you look at these opportunities internationally, I will remind you I know we've mentioned in the past that we look at all these on a risk-adjusted basis. So we've a model that evaluates as you move from country to country. So even on a risk-adjusted basis, there are some very attractive returns in some of these countries.
Operator: Our next question is a follow-up from the line of Hugh Miller with Macquarie. Your line is open. Please go ahead.
Hugh Miller: Just one quick follow-up for me, you guys talk about the sale of Propel. As you think about the use of those proceeds, you mentioned delevering the balance sheet. Are you guys considering other options outside of just paying down the revolver in which to delever?
Ken Vecchione: The answer is yes and we put that in the mix when we think about investment returns and what to do with the money.
Operator: Our next question is a follow-up from the line of David Scharf with JMP Securities. Your line is open. Please go ahead.
David Scharf: Just wanted to revisit cost to collect, obviously the legal channel both in the U.S. and abroad is the highest cost channel. In the UK, it sounds like it was just further deployment of the Marlin platform. But in the U.S., is there anything in the business that would drive the mix of legal versus call center to continue to rise? Or -- is there anything in terms of regulatory pressures that may want you to focus less on legal and more in call center?
Ken Vecchione: Well, the rise and legal has really been a shift in some of the portfolios that we've purchased over time that have a little bit more of a legal flow to them then through the call center. There is a portion of the rise that comes from again when you analyze each account on an NPV basis, we put more dollars into Ashish's hands on the legal side for him to drive more NPV. And, again, as you've said, if it goes through legal, it's going to be a little more expensive. But the returns are there longer term and we will continue to do that as long as everything is NPV positive.
David Scharf: And just lastly, on the tech side, can you provide what the adjusted tax rate was in the quarter to get your adjusted EPS? And then also looking forward, whether the anticipated geographic mix of income is going to impact the effective tax rate?
Jonathan Clark: Well, I will answer the latter first. Certainly the geographic location where you had your earnings will affect your tax rate. We're getting more and more effective, greater tax efficiency by moving to internationally and we're getting better and better execution in -- on an after-tax basis. Now, if you look at it where we stand today, just remember there are some distortions here with the goodwill impairment, etc. We've got down to a 22.3% rate, but if I were you on a normalized basis, if you adjusted out for things like the goodwill impairment and the CFPB, you would be up at a rate closer to just slightly over 30%.
David Scharf: Just over 30%, and that compares to more in the mid-30s% in - quarters.
Ken Vecchione: David, if you are fishing for what kind of effective tax rate might make sense going forward, I think as we've been telling people, it's kind of the low to mid 30s% makes sense. We've had some huge wins in 2015. We hope that we continue that progress. But my word of caution for all the stuff is that these tax strategies only have a limited half-life and then you have to adjust. So we will continue to work it hard, but something in the low to mid 30s%, I think, is the right rate.
Bruce Thomas: Okay. That concludes our call for today. We want to thank you for taking time to join us and we look forward to providing you our first quarter results in May. Thank you all very much.